Operator: Welcome to the Avnet Second Quarter Fiscal Year 2021 Earnings Call. I would now like to turn the floor over to Joe Burke, Vice President of Treasury and Investor Relations for Avnet.
Joe Burke: Thank you, operator. Earlier this afternoon, Avnet released financial results for the second fiscal quarter of 2021. The release is available on the Investor Relations section of the company's website. A copy of the slide presentation that will accompany today's remarks can be found via the link in the earnings release as well as on the IR section of Avnet's website. Lastly, some of the information contained in the news release and on this conference call contain forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict, in particular, the scope and duration of the COVID-19 outbreak and its impact on global economic systems and our operations, employees, customers and supply chain. Such forward-looking statements are not the guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in Avnet's most recent Form 10-Q and 10-K and subsequent filings with the SEC. These forward-looking statements speak only as of the date of this presentation, and the company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this presentation. Today's call will be led by Phil Gallagher, Avnet's CEO; and Tom Liguori, Avnet's CFO. With that, let me turn the call over to Phil Gallagher. Phil?
Phil Gallagher: Thank you, Joe and thank you everyone for joining us for our second quarter of fiscal year 2021 earnings conference call. I hope everyone is safe and healthy and that your 2021 is off to a good start all things considered. 2020 was a challenging year to say the least. And, of course, we continue to manage some lingering COVID related headwinds. But speaking for myself, I can say it's nice to have some momentum moving into the New Year. Despite the challenges, we persevered and produced solid second quarter results. Our success is doing those small part to the hard work and dedication of our incredible employees. Our team's ability to continue to provide uninterrupted service at a global scale and supply chain visibility is remarkable. This demonstrates the invaluable role Avnet continues to play for our customers and our suppliers. As I've highlighted in past calls, our employees' continued hard work has been supported by a renewed commitment to our primary value proposition here at Avnet, bridging the worlds and accelerating the success of our suppliers and customers. Our efforts have been focused on streamlining the business, leveraging the core and Farnell and investing in our value-added businesses, including the likes of IoT and Avnet Integrated. We've continued to add SKUs to the Farnell inventory, add salespeople and FAEs in selected geographies, invest in employee development programs, strengthen our supplier engagement teams and embrace digital capabilities. All of these actions put us on track to grow revenue streams, capture market share, enhance our global digital footprint and extend existing customer and supplier relationships. While it's still early innings, our efforts in driving tangible results across the board I'm heartened by the performance this quarter, and excited to tackle the challenges and opportunities in 2021, by the way, our 100th year in business, pretty amazing 100-year anniversary in 2021. Now, turning to slide five, you'll see evidence of this progress. Our continued emphasis on execution, coupled with strong market conditions across Asia and improving conditions in the Americas and EMEA enabled us to drive revenue and adjusted diluted EPS well above guidance. We are well-positioned today to execute even in volatile conditions. In the quarter, revenues were $4.7 billion, up year-over-year and up sequentially if we exclude sales from the additional week in the prior quarter. Revenue grew 9.3% year-over-year and 9.7% sequentially when excluding TI revenues from the prior quarters and adjusted to reflect constant currency and the additional week of sales in the first quarter. Our adjusted operating income increased 22% from the prior quarter, and our operating margin also increased sequentially, even with Asia being heavy in the revenue mix. We're pleased with how we did in the Americas and EMEA and are encouraged by the early results we were seeing at Farnell with improved operating margins. To top that off, the Asia region, and I do mean the whole Asia region, produced record sales in the quarter. It will be a surprise to no one on this call that we saw strong demand in the auto industrial sectors in Asia and frankly globally. Tom will discuss our financial performance in further detail a bit later. We truly are hitting on all cylinders and competing favorably across the board. While we were proud of the results that we achieved this quarter, we must remain vigilant and humble in the face of the continued uncertainty associated with the pandemic. So, before we take a deeper look at our core business lines, let me take a minute to speak about the widely reported ship shortages. Regarding some of the comments in the market about lead times and shortages of certain products, remember Avnet has a broad and diverse portfolio across franchises, and we're not overly exposed to any one product category. As we always have and we'll continue to do so, we're managing our backlog tightly and staying close to our customers and suppliers. Continuity of supply and supply chain visibility are key assets of Avnet's value proposition. Our teams have established relationships unmatched in this industry by remaining in constant contact with our customers and suppliers, working collaboratively upstream and downstream with both to manage forecasts and mitigate supply chain risk. We remain committed to putting customers first and are pleased to see that focus reflected in our improving net promoter scores, which is our customer engagement scores.  Additionally, we're seeing that suppliers are responding favorably to our approach as we continue to gain traction where -- or what I like to call winning with the winners. It's worth noting our relationships with our top suppliers extend several decades across the board, clearly demonstrating the value Avnet brings to these partnerships. We also announced early this month that we have rejoined the Electronic Components Industry Association known as ECIA as a distribution member. I'm very excited to take part and more directly contributing to enhancing the efficiency and effectiveness of our industry. I look forward to furthering our industry relationships through that partnership. Looking at our core Electronic Components business on side six. Revenues were up year-over-year in the quarter of $4.3 billion. As mentioned earlier, we realized record results in Asia, our largest segment, posted 9% growth sequentially. We're confident our China growth plan is working and that we are gaining share in the entire APAC region, which is really encouraging.  Despite the Americas revenues being down this quarter, we're encouraged by the incremental improvement driven by cost saving initiatives and initial recovery in the region. Revenues were down in the EMEA region as well, which was largely impacted by Brexit and lockdowns in the U.K. Overall, we were pleased with the gross margin improvement we saw across both regions. We exited the quarter with strong book-to-bills in every region. We're continuing to tightly manage our backlog and our teams are working closely with our customers to extend visibility, which we are sharing with our supplier partners. We continued to see strong design activity coming off record registrations in the first quarter. Turning to Farnell on slide seven. We're encouraged by the improvement we're seeing with Farnell. While Farnell sales were down sequentially and year-over-year with higher gross margins and reduced operating expenses in the quarter, we were still able to increase our operating margins to 4.5% from 3.5% in the prior quarter, tracking well towards our goal of 10%. We're continuing to invest, adding 49,100 SKUs through the first half of the fiscal year, progressing on our plans to add up to 250,000 SKUs through fiscal year 2022. Earlier this month, we also announced that Farnell was appointed as National Instruments' Authorized Distributor, significantly expanding its product portfolio to include NI software, connected test and measurement solutions for customers of all sizes. Amidst ongoing lockdowns in the U.K., we continue to carefully manage the ramp up of the Leeds distribution center. We know it will take time. Over the fully operational Leeds facility, we have the potential to realize $19 million of cost savings per year. That number alone speaks to the value we see in this business. Turning to slide eight. Before I turn over to Tom, I just want to reiterate how proud I am of our team. They've truly demonstrated resilience, adaptability, and perseverance, a tenant of Avnet's core and ability to evolve and deliver value over the past 100 years. As I mentioned last quarter, 2021 kicks off Avnet's 100-year anniversary celebration, which is a rare accomplishment for any company, but Avnet has proven time and time again its ability to adapt and grow. I've certainly seen that in my going on 40 years with the company, and I think many of you are watching that story unfold today. I'm confident the steps we're taking will continue to deliver value. And then we have the right team, experience and strategy to build on our recent momentum. With that, I'll turn it over to Tom to walk you through the financials for the quarter. Tom?
Tom Liguori: Thank you Phil. Good afternoon, everyone and thank you for attending today's call. As Phil stated, despite some sustained macro headwinds we produce strong results this quarter and made notable progress sharpening our execution in our primary distribution operations. Revenues of $4.7 billion exceeded our guidance and grew from $4.5 billion in the prior year's quarter. At this point, we fully implemented our $75 million OpEx reduction plan and are nearing completion of our $245 million plan. As our top line has grown, our adjusted operating expenses as a percent of revenue have continued to decline, hitting 9.25% this quarter, down from 9.55% in the previous quarter. And we achieved our goal of reducing working capital days. We started this initiative over two years ago when our days were in the mid-90s. Today, working capital days are at 75. As a refresher, each day is worth approximately $50 million of working capital. And to date, we've reduced working capital by nearly $1 billion. We are very proud of our team's progress and that we've been able to use the cash over the last three years to reduce our share count by almost 20% and paydown debt. Going forward, while we expect to invest cash in inventory as the economy and revenues recover, we remain focused on our net working capital days targets. On slide 11 you can see the early progress we've achieved. As noted, revenues of $4.7 billion and adjusted EPS of $0.48, both came in above our guidance range. Cash flow from operations totaled $85 million, our ninth consecutive quarter of positive cash flow, further demonstrating our team's execution and managing cash and working capital as we continue to navigate in unpredictable market. We use the cash flow to reduce our debt to $1.21 billion and net debt to $831 million. We also continue to support our dividend and returned $21 million to shareholders in the quarter. We're pleased with where our debt levels stand today. In fact, our debt is at the lowest level it's been since 2010. Looking at the income statement, gross margin of 11% was flat sequentially, primarily due to higher Asia revenues. By business, gross margin performed in line with our goals, increasing across the Americas, EMEA and Farnell. Adjusted operating expenses of $432 million were down by 4% sequentially. As I highlighted earlier, our $75 million operating expense reduction plan was fully implemented in the quarter, and we are tracking well against our $245 million plan. We have about $40 million to complete on that plan was predominantly lies with two projects already underway, an effort to outsource transactional processing performed and finance to an outside service provider and progressing on our Leeds facility. As you heard Phil state earlier, we have faced strong COVID related headwinds in getting the Leeds facility up to full production capacity, but we're pleased with how the team has managed in light of those challenges. And we're happy with both Farnell gross margin and operating margin results in the quarter. When we announced the $245 million cost reduction program over two years ago, we had an adjusted quarterly OpEx run rate of $483 million. And today, we're at $432 million on just about the same level of revenue. So, we've reduced our quarterly operating expense run rate by about $50 million, without testing salespeople, FAEs or any market facing staff. This positions us well. As the market recovers so we can focus on growing revenues with lower operating expenses and without the cost of adding people. Interest expense continued to decline and is now lower by $12 million or 37% compared to a year ago due to lower debt. Foreign currency expense was $5 million this quarter, an improvement from the prior quarter due to the weaker U.S. dollar. And our tax rate remains below 20%. On slide 12 we highlight results across our three geographic regions and from our two business segments. Total revenue growth was largely driven by record sales in Asia, up 16% year-over-year, while we saw signs of recovery across the Americas and EMEA. Looking at Electronic Components, we achieved revenue of $4.3 billion, increasing 3.3% versus the prior year. The Electronic Components segment operating margins were 2.4%, a 46 basis point improvement from last quarter due to our lower operating expenses. Farnell revenues for the quarter totaled $326 million, down sequentially and year-over- year, primarily due to there being one extra week in the prior quarter and due to a slow recovery from the U.K. lockdowns. The segment had an operating margin of 4.5% in the quarter, meeting expectations. We expect Farnell operating margins to continue to improve over the next six quarters, as we work toward achieving a steady state 10% operating margin. Importantly, Farnell gross margins also increased sequentially and were over 30% in the December quarter, illustrating the continued value that Farnell provides to engineers by having SKUs in stock and the ability to deliver to their desk within two days. We're optimistic that with aggressive Brexit resolution and improving economy, we'll be able to realize the full potential of the Leeds facility and continue driving Farnell forward. Turning the cash, liquidity and the balance sheet on slide 13. Our liquidity position remained strong and puts us in a good position to fund operations has the macro environment continues to recover. We ended the quarter with cash and equivalents of $376 million and with $1.6 billion of available lines of credit. Our gross debt leverage was 3.0 and net debt leverage was 2.1. Our net book value per share was $39, and our tangible book value per share was $30. Turning to slide 14. Before moving on to guidance, I'd like to briefly touch on the progress we've made upon implementing our strategic priorities. Let me share a few examples of how better execution in the December quarter resulted in improved financials. We are beginning to see the gross margin benefits of the Farnell's team wide adoption of the pricing analytics tools implemented earlier last year, as well as the stabilization of inventory reserves. Our Americas team implemented a number of costs actions that led to expanded Americas operating margins, a key initiative for us as we work to capture market share across all three core regions. Our Asia team has replaced just about all of their Texas Instruments revenue and sales of other supplier product lines to new and existing customers. At the same time, we reduced our net working capital days in total. We've managed our customer backlogs and have added about $100 million of inventory in the first half of fiscal year 2021 to meet growing demand, despite a tight supply situation. Even with the additional inventory our Electronics Components segment reduced working capital days to below 70. Phil said as well, there were still in the early innings here, we're pleased with the improve execution by our teams in managing our business. Turning to slide 15. I will wrap up with some comments about our expectations for the next quarter. For our fiscal Q3, we are guiding revenue in the range of $4.3 billion to $4.7 billion and adjusted EPS in the range of $0.52 to $0.58. Despite the seasonally lower revenues in Asia for the March quarter, we are guiding higher EPS. Asia tends to have a seasonal low in the March quarter due to the Chinese New Year. While our higher margin Americas and EMEA regions are expected to grow revenues sequentially. Coupled with our cost reduction programs, we expect to drive higher profitability in the March quarter. In summary, we're on pace and we'll continue to take actions in line with our priorities. We are aligning our operations and processes to improve the top line trends and gain market share in key areas, while maintaining our commitment to enhance profitability and improve return on capital.  With that, let's open the line for Q&A. Operator?
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Adam Tindle with Raymond James. Please proceed with your question.
Adam Tindle: Okay. Thanks. Good afternoon. Phil, I just wanted to start with a strategic question. You've had a little bit of time to analyze the portfolio. I think there's kind of two paths that investors are potentially thinking about. On one path, you conclude you have the right portfolio. You're going to pursue organic margin improvement and cash preservation. Or another path could be pursue M&A in an effort to enhance the portfolio, potentially accelerate growth aid and supplier relationships. Just hoping you could start by maybe opining on those two potential paths in which you're concluding is the right one to take here near term.
Phil Gallagher: Yeah. Thanks Adam. Appreciate that. Well, it might be an ad versus an order. Adam, short term, clearly we're going to be driving the organic strategies. As we've talked before, the biggest needle mover forces is right here at home in the U.S., getting the Americas continued to stay on track to the their plan, which we felt good about this past quarter and making progress and continuing to invest organically. Europe is, frankly, steady as she goes and going to continue to double down in Europe. And, of course, Asia, we're really pleased with the progress we're making in Asia, with effectively record quarters, that's in the core. And then you got -- I call that there's really two though. Then you've got Farnell. So, they're the two major paths. And Farnell, we've made some progress this past quarter. We're expanding SKUs and mild progress in the Leeds facility. As far as M&A -- and then, of course, we have Avnet Integrated, which is our embedded business, right? And we've -- we're restructuring that a bit and putting that closer to the core, particularly where there's boards and software and displays that goes into many of our core customers. And then, we'll continue to invest in IoT. But as we've talked, we just kind of took the pedal off the metal there a little bit, okay, to be sure we're getting a fair ROI based on the investments. And Tom could jump on M&A if he wants. But on M&A right now, we've been pretty convicted to continue to strengthen the balance sheet and protect that as much as possible while also protecting the dividend, right? Now that doesn't mean we're not going to date and look at opportunities from the future for M&A. And I'm sure that will begin again at some point in time. We're just not ready to talk about it yet. So, I think it's more of an end then or [ph] and maniacally focused on execution.
Tom Liguori: And Phil, let me add. Just to set expectations, any M&A would be a smaller tuck-in with a distributor that had a complimentary, either supplier or customer. So, keep that in mind, Adam. 
Adam Tindle: Okay. That's helpful. And maybe just as a follow-up. I know margin improvement is a key part of the story. I guess, if we were to double click on margin improvement, Farnell is one of the big potential drivers here. I wanted to ask on that path too. I think you said 10% over a six-quarter timeframe. I think you mentioned in the quarter that gross margin was now over 30%, so that seems like it's quite healthy at present. And you're still kind of in the mid single digits on an operating margin basis. So, maybe help me bridge the next six quarters, kind of doubling operating margin while the gross margin correction seems already done. Is there OpEx to come out? Is there volume on the revenue side? What are the drivers to get to that number? Thank you.
Tom Liguori: Phil, should I take that?
Phil Gallagher: Sure. Why don’t you start Tom? Go ahead.
Tom Liguori: Adam, I think the main thing is getting the Leeds distribution center out. $19 million is I think close to maybe 150 basis points improvement. And the Farnell team has done a really good job on OpEx management and moving things for lower cost geographies. So, there's some of that. We're going to continue to add SKUs which we expect will help bring people into our site -- into our website and grow revenues, as well as enhance our e-commerce tools into marketing investments. But we want -- the expectations should stay the same, about 100 basis point improvement per quarter. And we feel good about where we're at with that.
Phil Gallagher: Yeah. Tom, last comment I'll make -- yeah, Adam is that, we were there, okay? So six, seven quarters ago, we were at that 10% operating margin, and we're effectively reverse engineering the business back to get to that 10%. The maths working now, the execution has to follow, and that's what Chris and the team are working on.
Adam Tindle: Good point. Phil, I appreciate the details and congrats on the quarter.
Phil Gallagher: Thanks Adam.
Tom Liguori: Thanks Adam.
Operator: Thank you. Our next call comes from Tim Yang with Citibank. Please proceed with your question.
Tim Yang: Hi. Thanks for taking my questions. On incremental margins, if I use midpoint of guidance, I think you're guiding $88 million to $90 million operating profit, which means that you are guiding profit of roughly $80 million [ph] higher with sales up $200 million on year-over-year basis. So that's roughly 9% of incremental margins. Looking forward, how should we think about the flow -- I mean, flows through margins or incremental margins given you have Farnell recovery and cost saving.
Tom Liguori: Well, the good thing about our financial model is that we feel very good about the cost structure. We feel very good that all of our organizations are staffed properly, that we have the proper staffing out in the field. So, we use the term drive-through. This is one of Phil's favorite terms, right, Phil.
Phil Gallagher: Yeah.
Tom Liguori: And what it means is as we get gross profit dollars, Tim, we're not going to be adding a lot of costs, totally go straight down and help with the operating income and the operating margin percent as well. Does that help answer your question?
Tim Yang: Sure. So, firstly, so incremental dollar amount that you are generating the revenue. How much of that would have flow through to your operating profit line on a year-over-year basis? I think that's my question.
Tom Liguori: I think we've said in the past 70% to 80%. It kind of depends, but that's what we target internally, so it should be quite healthy.
Tim Yang: Gotcha. And then on the COVID related costs, can you maybe just remind us, like how much of that in the past quarter? And then how should we think about that going forward in the next two quarters?
Tom Liguori: We've given out a number, I think, $8 million to $10 million, that's probably about steady. Keep in mind, we're also saving money, right, like no travel, building expense. So, I think the net impact, Tim, is probably not that material.
Tim Yang: Gotcha. Thank you.
Phil Gallagher: Thanks Tim.
Tom Liguori: Thanks Tim.
Operator: Thank you. Our next question comes from Matt Sheerin with Stifel. Please proceed with your question.
Matt Sheerin: Yes. Hi. Good afternoon, everyone. Just a question team about just the current demand environment. If you could drill a little bit more Phil, in terms of the book-to-bills that you're seeing per region. And then also just commentary, you did talk about the supply constraints out there. Are you starting to see customers looking to build inventory? Do you think what you're selling is actually selling through versus some inventory build. And then with that, basically two to three years ago, we had a very strong cycle and you saw some benefits on the pricing side, and obviously on the margin side. Did you envision that kind of scenario, given the data points out there? And would that margin environment be beneficial to you in terms of pricing?
Phil Gallagher: Sure. Matt, I'll take that. Was that one question?
Matt Sheerin: That was multiple parts. Thank you.
Phil Gallagher: You got, Matt. I'm teasing you. So in the book -- I jotted them down here. I think I got them. Hey, look on the book-to-bill yeah, we did note in the script, well above a parody at this point in time in all regions. I think we noticed in the last earnings. We started to see it come out of positive book-to-bill in Europe in the September month of that quarter. And that continued strong in Europe, even through December, as it did in the Americas and Asia-Pac. So, yes. We're very positive book-to-bill. And I think it leads to the kind of the next question, because that'll kind of combine. Part of it is lead times going out, Matt, right? And I'll comment on that as well. And as lead times go out, customers do tend to book more out as well, right? So just for the lead time. So that's what we track really closely. The total book-to-bill bookings inside of 30, inside of 90. And then anytime you get outside of 90, 120, obviously the -- statistically, the accuracy comes down a little bit, but we're tracking that. We got the mechanisms to do that. We're taking them roughly thousand plus customers MRPs every day, week and month. So, we've got the analytics around that. So, feel good there. As far as selling through, I just know that I'm on a lot of expedite calls where customers have real demand. There's only three today as a matter of fact. So, -- and with the suppliers. It's hard for us to judge if they're building inventories internally. I don't sense that talk to the customers at this point in time, and I'm assuming you're talking raw inventory buildup, as opposed to finished goods or maybe a little bit of both. It's tough for us to track that. We try to manage it with our customers, but there's no magic wand on that one. We do watch the MRPs for inflated demand, right? We get a customer that comes in and is using match yearnings, using a hundred pieces a week. And all of a sudden, they want 300 or 400 a week. We try to catch that and go back and reverify, that is true demand. So, I'm not feeling that at this point in time. Our cancellation rates push outs, all that we look at are pretty consistent right now in that 25%, 30% range, which is for those that don't -- aren't aware that that's normal. It's the buffering, the shock absorber we take care of for our customers and our suppliers as we -- we always sit in at center of technology, right? So, we're seeing it on both ends. As far as the pricing, yeah. So that's been pretty, pretty public out there for many suppliers. We won't comment on any one supplier. But yeah, definitely seeing some pricing increases in -- whether it be shipping debit or just commodity costs. And we do have processes in place to go and work to pass that onto our customers. Sometimes that's difficult based on the contract we have, and we need to do some further negotiation. But certainly the plan is particularly -- as these are sort of supply, we certainly can't be the shock absorber to pick up the pricing increases. So, our -- and what our majors price increases, Matt, as far as going with us and we work with the customer together then to explain that. So, it's not a black and white answer. It's a challenge, but we do have the mechanisms in steady analytics to go back and track that to be sure that we're drive -- increasing fairly, by the way. I mean, we might have customers on is called fairly, the public price increases that are being passed on to us.
Matt Sheerin: Okay.
Phil Gallagher: That -- I think I hit them all.
Matt Sheerin: No, I appreciate it. Just one quick follow-up just in terms of the gross margin. Tom, sort of backing into the number, it looks like it's going to be what, 30, 40 basis points sequentially. I know that mix is part of that, TI going away as part of that. But as we look forward, when Asia comes back, is it kind of sort of be in that range for a while until you start to see more demand creation and premier Farnell contribute? Or is it different?
Tom Liguori: No, I think you're absolutely right. It will be in a range. One of those two factors …
Matt Sheerin: Okay.
Tom Liguori: Thank you, Matt.
Matt Sheerin: Thanks a lot.
Phil Gallagher: Thanks Matt.
Operator: [Operator Instructions] Our next question comes from Steven Fox with Fox Advisors. Please proceed with your question.
Steven Fox: Yeah. Thanks. Good afternoon, everyone. Just following up on the last question about where the supply chain is at. Phil, can you sort of -- if we roll this situation forward say three to six months, what's the buffer that sort of keeps things from getting sort of out of hand where you do get into a situation where customers are double ordering. Is it that -- do you see the demand on the other side of some of the inventory build that some of your suppliers are talking about, or is there another catch-up here that I'm missing? But I'm just trying to understand why this doesn't become a problem say in 90 days, and then I have follow up.
Phil Gallagher: Yeah. Hi, Steve. Thanks. Again, I think it's based on what we're seeing today in the forecast management systems we have today. And when I say that mean back upstream with our suppliers and downstream for our customers. So, we're seeing by directionally. And right now, just based on the activity we see, the backlog, I mean, automotive -- the diversification, Steve, as well. Automotive, industrial, consumer, the application technology. I'm not a prognosticator to go out three, six, nine and 12 months. We typically don't do that, but just right now, the demand looks pretty darn good. And I was with three major semi guys today and protecting certain commodities, right? But it does feel -- it feels pretty good. So, again, we've been around the industry a long time, so we see the cycles. And I think this is just a different type of cycle, which is maybe make it a little bit more difficult to, because you do have the COVID issue, how much of it's new demand versus replenishment of inventory. Because they -- in the automotive, for example, because they didn't have inventory. So, that's what we're just going to continue to track and put our own analysis around it and the analytics around it. And I think the other word I use with customers and suppliers is, hey, we all need to be more responsible. What is it we really need? What is it that the customers really need, okay, without inflating it, right? And we need to hold them -- hold ourselves a little bit more responsible in the supply chain.
Steven Fox: Okay. I appreciate that perspective. And then just on the Leeds, the ramp of that distribution facility. Tom, you mentioned $19 million of eventual cost savings. Do we think about that as sort of a fairly straight line, or is there a certain humps you still have to get over before you start realizing the bulk of the $19 million? How does that play out between …?
Tom Liguori: It'll be -- sorry -- I didn't mean to interrupt, Steve.
Steven Fox: I was just saying between now and say -- you're talking six quarters from now.
Tom Liguori: Yes. Yeah. And it's going to take another quarter to two before you start to see the savings. But it's designed to have higher capacity at lower total costs. And what we see is, it's on track as far as ability to achieve the savings.
Steven Fox: Okay.
Phil Gallagher: And Tom, I could add to that Steve, because it's a great question. And we're all over that is, it's also going to add more capabilities for us, okay? There's certain value added. The new logistics center will offer our customers that in the current facility today in the U.K., we can't do. So, it's not only a cost. I mean, a hard black and white cost savings to Tom's point, but it should enable us to sell more and offer more services as well.
Steven Fox: Okay. That makes sense. Thanks for that color.
Phil Gallagher: Thanks Steve.
Operator: Thank you. Our next question comes from Nick Todorov with Longbow Research. Please proceed with your question.
Nick Todorov: Hi, guys. Good afternoon and thanks. I wanted to double click on the comment of replacing TI's revenue in Asia. Just to confirm this as sales, does that mean that you guys have replaced essentially more from a gross margin perspective what you were getting from TI in Asia? And maybe if you can give us a split, how much of that is new province wins. And lastly, on that point, maybe how is progressed on and doing the same thing in EMEA and North America?
Phil Gallagher: Yeah. Thanks Nick. I appreciate that. The answer is really yes and yes. So, we -- on the revenue side, just looking at the last three years while we're talking, it was -- as we said the highest number we had and that would have had the guys from Texas in the numbers. So, it's now -- it was effectively out all together and a similar on the profit side, which to the earlier question drove nice drop through for us in Asia-Pac. So, effectively, yes. So, we got revenue and GP.  What was the follow-up question on that one?
Nick Todorov: Just any update on the province wins.
Phil Gallagher: Americas and Asia? Yeah. So, in Asia, obviously, we've got some -- yeah, thank you. So, obviously, in Asia, we've got a little bit of a lift from the market as well, right? Because Asia market's really hot. So that's certainly helped us as well as organically working with other suppliers to help drive more shifts and design. There's three areas we're focused on. And we've mentioned this before. One is the pin for pin replacement. So, that's in a range of 10%, 12% of the business. And that's a global statement, by the way. And the second one is the design win. And the -- that bucket is going to be the longer pole at tent that will affect more of the west, okay, and be slow to fulfill in both Europe and Americas and even some of that might be fulfilled in Asia-Pac will track that. But that number is growing nicely. And that's when you're catching the next generation of design that a customer -- they're not going to typically design something out to midstream, but we've got our design registration, design win tracking, and we've actually got some design wins already going into production and replacing some of that business. And then the third bucket is what we call shifts. And that's where there's -- I think that's where -- we all should remember that the customers care what happens with their supply chain and their suppliers. And there's -- they like to at times share that business, okay? And there might be reasons they have to share. So there's some shifts inside the customer where we lost a line like this one that we can go make it up in DTAM or TAM to DTAM shift inside the customer and that we're tracking as well. So third -- a three-pronged approach that we're getting after on TI. And we're ahead and to your point -- good observation, we're ahead in Asia-Pac versus the balance of the west.
Nick Todorov: Okay. Great. Thanks for the color. If I can follow-up with one more. Maybe Phil, can you -- I understand that there's pockets of where lead times are strict and maybe out of pockets, there are not. And maybe if you can compare and contrast the lead times relative to the prior cycle, maybe to the peak of the prior cycle. And if lead times are stretching, what do you think is customer's ability to build inventory? Because it seems like we're hearing more of the fact that they cannot get product rather than build inventory on their shelves.
Phil Gallagher: Yeah. That's right. And that goes to, I think, Steve's question and part of Matt's question earlier on the building of inventory. Again, tough for us to track that, although we try to with the MRP sharing. So the lead times, yeah, it's a really good question versus 17, 18 [ph]. It feels a little different than 17, 18. I mean -- and I think we all do need to remember this can change within days and weeks, okay? And then in 17, 18, it was more in a passive area, the capacitor area, not exclusive, but just if you would make a statement, it was more than that capacitor area where today it seems to be more in the actives in the semi electro side. That's not to say it can't spread into the passage as well, but it's really a moving target. In the last call we had with everybody back in October, it was predominantly 32 bit, the high end microcontrollers, which is predominately driven by automotive. That's still maintained to be a challenge. And so huge range because we say 32 bit what a tons of different packages and whatnot, but it's 16 to 52 weeks lead times. We see it spreading in the -- into some of the FPGAs, power. So some parts of the analog or find other parts, seeing that it hits in the power devices in certain op amps and some of -- or automotive ICs. 16 bits starting to leak out a little bit, it's out about four to six weeks from where it was several weeks ago. And some of the 8 bit are starting getting out to the extend lead times as well. So, it's a bit of a moving target, but it definitely seems to become a bit broader, okay, then we saw even in the October timeframe.
Nick Todorov: Got it. Very helpful. Thanks. Good luck.
Phil Gallagher: Thank you.
Tom Liguori: Thanks Nick.
Operator: Thank you. Our next question comes from Ruplu Bhattacharya with Bank of America. Please proceed with your question.
Ruplu Bhattacharya: Hi, thanks for taking my questions. Tom, I think you said that there was $40 million left in the $245 million cost reduction program. How should we think about that flowing in? And also how should we think about SG&A trending over the next couple of quarters? Are you done with all the hiring that you needed to -- for Salesforce and engineers? And do you have enough staff to capture the end market demand or how should we think about SG&A over the next few quarters?
Tom Liguori: Ruplu, thanks for asking that. I think that's really important. I would expect our OpEx dollars to remain relatively flat with some adjustment for volume. We have $40 million left to go. Remember that half of the $75 million were temporary measures things such as furloughs. And then as Phil mentioned earlier, we are making a number investments. But the good thing that we're really pleased with the OpEx is that, as the market recovers, as revenues grow, we're not going to be adding dollars and other than sales commissions and some distribution related costs. And therefore, we'll get some pretty good drops through down to the operating income dollars and the operating margins. Does that help?
Ruplu Bhattacharya: Yeah. It does. I mean, that's very helpful. Maybe just as a follow-up to a prior question on the TI revenues. In the past you've said that you don't have to make up the entire TI revenue that's going away because you're targeting revenues that are at a higher margin. So in that vein, is there a way to quantify how much of the revenue that you need to make up you've already made up? So like, have you made up half of that revenue that you need to make up, or one-fourth or three-fourth, is there a way to quantify how much more revenue that you need to make up to get to the same gross profit dollars?
Phil Gallagher: Yeah. We're probably in a range of between 30%, 35%, right? Because again, the biggest bucket is that design win registration bucket. And that's the one that's going to be further out because of just the share cycle time of design to fruition -- or registration to fruition in the 30%, 35% range. And we've said -- we would just remind it, we've always said it’s a roughly a two-year period that's going to take. So we feel we're tracking.
Ruplu Bhattacharya: Right. No, that makes sense. Just the last question, I don't know if you've mentioned this. But the end markets that were strong, if you can just kind of quantify, I'm pretty sure like a demand from automotive was strong. But as you go forward, I mean, which -- the demand that you're seeing from different end markets, if you can quantify like which one is stronger, which one is weaker? And in that vein, are you seeing any unusual demand from markets like automotive? So, I mean, getting back to the question of double ordering, you think anybody like the tier ones versus OEMs they could be, both ordering at the same time. So, are you concerned about any double ordering in the -- in your backlog? Thanks.
Phil Gallagher: Well, again, we always track the double ordering, as I said earlier. And we work with our suppliers in that. because they could see it too, by the way. They see X, Y, Z customer place in the same part with three people, then -- they catch out as well and then they're working on that. So, I don't think it's as prevailing as maybe it used to be shorter some out there. But the auto, I don't think there's any -- you mentioned auto. I don't know. They're taking anything they can get right now. So I don't believe there's any buildup of or exaggeration there and what they need at, and that's pretty public information. The industrial is come back strong and that's still about 30%, 35% of our business, which is really -- nice thing about industrial is really a diverse customer set. And we need to make sure that we do everything we can to protect that customer base. It tends to be a much longer tail, a higher mix, a little bit lower margin -- or a lower volume, but a good -- we bring a good value prop to them. So the margins tend to be good. The consumer has been strong. Defense, aero, they were running against their own compares there. But aerospace not as much, we kind of combine them. But on the defense side, definitely still strong in the defense side as well.
Ruplu Bhattacharya: Got it.
Phil Gallagher: We're not dependent -- overly dependent on any one vertical really, which is -- which helps our diversification model.
Ruplu Bhattacharya: Got it. Thanks for all the details. Appreciate it.
Tom Liguori: Thank you Ruplu.
Operator: Thank you. [Operator Instructions] Our next question comes from David Williams with Loop Capital. Please proceed with your question.
David Williams: Hey, thanks for letting me ask a question here and congrats on the progress. Just want to see maybe if you could talk a little bit about the execution hurdles that are in front of you. And what are the main sticking points or the areas that we should be concerned with or potentially could hang up some of the progress that you're making and your progress you're walking toward.
Phil Gallagher: Well, I'll go first, Tom if you want. So, thanks David. I appreciate the question. It's a good question because we're focused on execution. So, I always say we can't control the market and the size of the market or the growth of the market, but we can focus and control what we control, which is execution. So, good question. The two we talk about most frankly, as the Americas and I'm sure Tony, our President, is on the call somewhere, or we'll listen to transcripts. It's our biggest needle mover. From several years ago we took a couple hits here and we're pleased. I want to make that really clear. We've been picking up share in the Americas and we're pleased with the progress being made there. And that's probably number one. And then number two, we've talked about quite a bit in the script and in Tom section, Farnell, we got the Farnell and again, when I say Farnell that includes Newark here in the U.S., with Uma and team leading that effort. We just added National Instruments by the way, which is exciting. So we'll be executing on that. That should be a growth line for us as well. So those two are the most critical to get us back to where we need to get to. And we have line of sight in both of those businesses to get there. And then we need -- Asia, Preston [ph] and his team has continued focus on execution. Tom talked about. They've had a nice run and he's done a nice job. And, of course, Europe are most profitable region and we need to Mary and Paul to keep the pedal of metal in Europe and steady state and continue to drive execution there. So, demand creation is key. That's 30%, 35% of our business today. Suppliers value what we bring in demand creation. It's a topic of every conversation we have with our top suppliers and we need to continue to grow that. And then, IP&E interconnect pass electromechanical, right? So, that's a higher margin business for us. And we got focused on that as well. So, there's not anyone, but, there four or five, as we build out the new business models, that'll have a bigger impact of margin as we go forward in IoT and the Avnet Integrated business. Hope that helps. Tom?
Tom Liguori: No, I think you covered it, Phil. Thank you.
David Williams: And one more, if I could. Just maybe any color around the registrations and maybe where the activity has been the strongest specifically within the industrial segment. I know it's been strong, but are there pockets or areas that you're saying maybe greater degree of demand than others, or is it really, truly just very broad based?
Phil Gallagher: Yeah. It's a good question. We report the last quarter of the registration -- the registered -- income and registration, which was the highest we've had on record. And we're pleased this quarter that actually our design win revenue, so that's when you actually shipped the product against that registration. It was the highest in six quarters. And so, we're pleased with the progress even with some of the line losses we've had to be able to close that gap. So, a positive on that front. And then, on the segments, you asked that industrial, industrial is really diversified. But clearly test and measurement strong. A lot of our medical falls into industrial as well as a subset effectively, but it's pretty diverse. There's not really anyone. If you can just -- just thinking about all the industrial applications out there and how diverse that is.
David Williams: Thanks so much and best of luck on the quarter.
Phil Gallagher: Thank you.
Tom Liguori: Thank you.
Operator: Thank you. Our next question comes from William Stein with Truist Securities. Please proceed with your question.
William Stein: Great. Thanks for taking my questions. Phil, can you talk a little bit more about the shortages in maybe in this way? What is the biggest product -- sort of problem area for you now? And when you talk to those suppliers, I think we all understand that these are real shortages. I'm guessing there is some double ordering going on, but there's also very low inventories in the supply chain, so it doesn't seem inappropriate. And demand's probably going to continue to get better as we go through 2021. What are those suppliers telling you about their recovery plans for adding capacity for sort of fixing this? Because hopefully it doesn't fix the other way by demand crashing. And then as a follow-up to that -- and as another compound question -- but can you talk about customer behavior in the case of their inability to get a full kit? Are they taking what they can now, and then chasing the other parts for either through you or any channel they can, or are they waiting in a way that they make sure they're always balanced. Thank you.
Phil Gallagher: Yeah. Yeah. Thanks. Well, really, really good questions. Complicated questions. And boy, I'm working on our lead time charts here. And I don't want to have any one supplier, but for sure, the higher end MCUs that consistently, probably the hottest right now in the 32 bit space we talked about in October and that continues. And it's complicated because there's so many different package sizes and I'm just saying and today, I'm expediting a power module for major customer in the industrial segment. So, the subset of the medical, was on the phone literally about two hours ago. So it's kind of -- it's a tough question to answer, but I would say if I were going to pick one, okay, it'd be probably more than likely the higher end, 32 bit. But as I said earlier, probably leaking into the 16 bit, even some of the 8 bit right now. And that's where you're going to get into that broader customer base, particularly 8 bit broader applications in the industrial segment. As far as the -- what they're saying. And a lot of this is, is out there already. That's why this cycle is so much different then than others, because of the COVID and some of the issues that some suppliers had in packaging and whatnot over the past six, nine months and playing catch up. But you look at -- we look at the front end versus the back end and the lead time just to get a fab up and running. I mean, it could take upwards of nine to 20 weeks just to get a fab up or running the back ends and other, 10 weeks or so. So, depending on where to suppliers might be, and some of them outsource that, obviously in that process is the moving target. If we're just starting now, then we're going to have a long road to go. And some are just starting -- some are already underway and whatnot. So, it really just -- that's roughly the lead times that you'll see out there and based on that recovery of capacity and demand, and we'll see how that adjustment plays out.
William Stein: And then the follow-up was about, are they waiting to get fully balanced kits? Are they taking what they can? Or is there a prevalent answer to that question? It's something that comes up all the time when there are shortages and we had the …
Phil Gallagher: Yeah.
William Stein: When the cycle protracted, it happens every couple of years, right? So.
Phil Gallagher: Yeah. No, sorry. Well, it wasn't that one and it wasn't avoiding. Yeah. So, we track that. We're not seeing a lot of that right now. I think what you're saying is that they can't get the -- in 17, we ran into some of that, right. If they can't get the MLCC capacity, they may not want the rest of it. If it's kind of what you're saying. We've not seen that play out yet. It could on a item by item or individual basis, but not a whole lot. And again, we're not -- I'm not seeing the hoarding effect of inventory either on the other side to the earlier question. But again, I look I can't say that there's not some of that happening. But right now, we're not tracking to it. We're not tracking it. We don't see it.
William Stein: Thank you.
Phil Gallagher: You got it.
Operator: There are no further questions at this time. I would like to turn the call back to Phil Gallagher for any closing comments.
Phil Gallagher: Yeah. Thank you very much. I appreciate that. And I want to thank everyone for attending today's earnings call. We hope everyone stays healthy and safe during this time and wishing everybody great 2021. Look forward to speaking to you again in April with our fiscal third quarter earnings report. Take care and thanks again.
Operator: Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.